Operator: [Operator Instructions] Good morning. My name is Angela, and I will be your conference operator today. At this time, I would like to welcome everyone to the RenaissanceRe Fourth Quarter and Full-Year 2023 Earnings Conference Call and Webcast. After the prepared remarks, we will open the call for your questions. Instructions will be given at that time. [Operator Instructions]. I will now turn the call over to Keith McCue, Senior Vice President of Finance and Investor Relations. Please go ahead.
Keith McCue: Thank you, Angela. Good morning, and welcome to RenaissanceRe's Fourth Quarter and Year-End 2023 Earnings Conference Call. Joining me today to discuss our results are Kevin O'Donnell, President and Chief Executive Officer; Bob Qutub, Executive Vice President and Chief Financial Officer; and David Marra, Executive Vice President and Group Chief Underwriting Officer. First, some housekeeping matters. Our discussion today will include forward-looking statements, including new and updated expectations for our business and results of operations following the Validus transaction. It's important to note that actual results may differ materially from the expectations shared today. Additional information regarding the factors shaping these outcomes can be found in our SEC filings and in our earnings release. During today's call, we will also present non-GAAP financial measures. Reconciliations to GAAP metrics and other information concerning non-GAAP measures may be found in our earnings release and financial supplement, which are available on our website at renre.com. And now, I'd like to turn the call over to Kevin.
Kevin O'Donnell: Thanks, Keith. Good morning, everybody, and thank you for joining today's call. In 2023, RenaissanceRe achieved several strategic milestones. We began the year with two overarching goals: first, to achieve a step change in property catastrophe reinsurance pricing, and second, to grow into one of the best underwriting markets in a generation. I can now say we successfully achieved both of these goals and exceeded even our own high expectations. As a result, we delivered excellent financial returns for the year and position the business to create enduring shareholder value moving forward. This was evident in robust contributions from each of our three drivers of profit, underwriting fees and investment income during both the fourth quarter and the year. For the quarter, we reported $623 million of operating income and a 33% operating return on common equity. For the year, we reported $1.8 billion of operating income and a 29% operating return on common equity. Also for the year, we grew our principal metric, change in tangible book value plus accumulated dividends by 48%. Before I turn the call over to Bob to discuss these results in more detail, I'd like to take a few minutes to share a bit more context on our strategic achievements in 2023. Starting with the step change in property catastrophe reinsurance. To achieve this step change, we needed to fundamentally realign the protections we provided to our customers against large catastrophic events. We did this by significantly increasing rates and retentions and improving terms and conditions. We also rationalized structures to reduce overly broad exposure to relatively small events. Ultimately, we provided an additional margin of safety against volatility, protecting our equity and our returns. We accomplished these objectives at January 1 last year and sustained the step change momentum throughout the year. As a result, in 2023, we constructed what was the largest and most profitable underwriting portfolio in our history. As I will discuss later, the momentum behind this portfolio is persisting into 2024. Turning to our second strategic goal. We recognize the importance of growth in this stable favorable underwriting environment, and we substantially accelerated our growth by acquiring one of the best reinsurance assets in the market, Validus Re. Leading up to our acquisition of Validus, reinsurance and property catastrophe were disfavored. But we had conviction in our vision of being the best underwriter. We recognize the competitive advantage that the large, well-diversified Validus Re portfolio could bring to us. This is in part because there is substantial value and incumbency in the reinsurance industry. This is especially true in strong markets. A critical component of RenaissanceRe's value proposition to customers and brokers is our provision of consistent capacity across market cycles. This consistency, coupled with increased incumbency, was our formula for strategic success in 2023. In addition to a substantial amount of attractive premium, the Validus acquisition brought us several additional benefits. This included the addition of the Validus team which has quickly become a valuable part of the RenaissanceRe team. We continue to be impressed by their professionalism, strong work ethic and deep industry knowledge. Our industry-leading risk expertise has been enhanced by their contributions. In addition, we now have a deeper and broader relationship with AIG, a long time and valuable client. In summary, these two strategic achievements delivering the step change in locking in profitable growth by delivering the Validus portfolio are great examples of our ability to execute decisively when market conditions are favorable. We have built the industry's leading platform to accept reinsurance risk efficiently and effectively. Looking ahead to 2024, this platform positions us to continue delivering strong financial performance and creating enduring value to our shareholders. Consequently, at the recent January 1 renewal, our overwriting objective was to retain RenaissanceRe's legacy lines while renewing the Validus business we choose to keep. Critically, we sought to do so without disrupting the favorable market conditions brought about by the step change in reinsurance. I am pleased to report that we were overwhelmingly successful in this endeavor. Clients and brokers broadly supported our efforts to become a larger and more relevant partner, a role that we are proud to serve. The result was beneficial to all of our stakeholders. Our customers benefited from increased access to our highly rated, well-capitalized balance sheets. Brokers benefited from access to an expanded and more influential market known for providing certainty of execution and a market-leading view of risk. Our capital partners benefited from increased access to desirable risk and our shareholders, of course, benefited from improvements in each of our three drivers of profit. The underwriting environment remains robust. And our success retaining the Validus portfolio provides a significant tailwind. As Bob will discuss in a minute, our investment portfolio should meaningfully add to our bottom line. And growth in our fee generating business Capital Partners should persist. That concludes my initial comments. I'll provide a more detailed update on the renewal and our segments at the end of the call. But first, Bob will discuss our financial performance for the quarter.
Robert Qutub: Thanks, Kevin, and good morning, everyone. We finished 2023 with an exceptional fourth quarter with a return on average common equity of 84% and operating return on average common equity of 33%. This quarter was the capstone to one of RenaissanceRe's historically strongest years, where we earned operating income of $1.8 billion and delivered an operating return on average common equity of 29%. In 2023, we outperformed across all 3 drivers of profit with underwriting income of $1.6 billion, fees of $237 million and retained investment income of $831 million. We also grew our principal metric. Tangible book value per share plus change in accumulated dividends by 48% and book value per share by 58%. This growth was primarily driven by our strong earnings and the acquisition of Validus as well as mark-to-market gains and a one-time deferred tax benefit related to Bermuda's adoption of a 15% corporate tax rate incepting in 2025, which I'll discuss in more detail shortly. Importantly, we have positioned ourselves to continue delivering strong shareholder returns, driven by several factors. First, the acquisition of Validus Re will be a material contributor to our financial results. The integration is proceeding smoothly. Teams are working well together. And as Kevin said, we had a very successful January 1 renewal. Second, we have built a solid foundation across all three drivers of profit and expect them to continue contributing meaningfully to our results. And finally, we are an excellent capital and liquidity position, which will provide us with opportunities to deploy and manage our capital to the benefit of our shareholders. I'll dive deeper into our financial results in a moment. However, let me discuss some new disclosures related to the purchase accounting adjustments from the Validus transaction and a one-time deferred tax benefit that we recorded to the Bermuda corporate income tax legislation. Starting with accounting for balances. As we discussed with you last quarter, our calculation of operating income now includes an additional adjustment to exclude the impact of purchase accounting. These purchase accounting adjustments include the impact of amortization of net value of business acquired, other purchase intangibles and at fair value adjustments. By removing the impact of purchase accounting from operating income, we will better reflect the performance of our business, provide a more comparable metric to that of our peers and ultimately offer greater transparency to our core results for shareholders. We've included additional disclosures on these purchase accounting adjustments in our financial supplement. Specifically, on Page 32, you can see that at the end of 2023, the purchase accounting adjustments are $917 million, this included $90 million of goodwill with the remaining $827 million in amortizing intangibles. Other than goodwill, we expect these assets to amortize over 10 years with about 40% of amortizing by the end of 2024. As these assets are amortized, they will increase acquisition costs and net claims and claim expenses, which will increase our reported combined ratio to provide clarity on these adjustments. We have included a schedule on Page 33 of the financial supplement that shows an adjusted combined ratio that excludes the impact of purchase accounting adjustments. Throughout my comments, I will refer to this combined ratio as the adjusted combined ratio. Moving now to an update on Bermuda's corporate income tax and the deferred tax benefit we booked in the quarter. In December, the Bermuda government adopted a 15% corporate income tax incepting in 2025 in response to the OECD global minimum tax rules. As a result, all things equal, we expect our effective tax rate will increase starting in '25. It is important to remember that our non-Bermuda balance sheets are already in tax-paying jurisdictions, so the incremental impact will be less than 15%. As part of this, we have recorded a net deferred tax assets, or DTA, of $594 million. This includes an amount related to an economic transition adjustment provided for in the Bermuda legislation, which is intended to provide a fair and equitable transition into the tax regime. The DTA increased our book value and tangible book value in the quarter by $11.27 per share, and it were not included in operating income. This DTA will be utilized predominantly over a 10-year period starting in 2025. It will reduce, but not eliminate, our Bermuda cash tax payments in those years. This provision is independent from any credit or expense offsets that the Bermuda government may adopt in the future. Throughout this process, the Bermuda government has consulted extensively with stakeholders, including the international business community with a strong focus on maintaining Bermuda's attractive business environment and robust regulatory framework. Over the course of 2024, our focus will be on working together with our trade groups and other international businesses to engage with the government as it implements this new tax regime. Moving now to our results and starting with our first driver of profit, underwriting where we reported consistently strong underwriting results in 2023. We delivered a 77% adjusted combined ratio for the year and a 74% adjusted combined ratio for the quarter with 7 percentage points of favorable development across both segments in the quarter. Estimated industry catastrophe losses approached $120 billion this year. Our strong underwriting results reflect the actions we took at the beginning of 2023 to increase reinsurance rates and attachment points and tightened terms and conditions. As I've discussed with you, our 2023 focus was to grow inorganically through Validus diversified book as well as organically in classes of business where we have been seeing the best returns such as property and excess of loss and specialty. We accomplished this. The 1/1 renewal was again tremendously successful, and we renewed the combined RenaissanceRe and Validus portfolio according to plan. In addition, throughout 2023, we proactively shaped the portfolio to favor attractive lines. 2023 net premiums written were $7.5 billion, up 4%, but there was significantly more growth in our target areas. Property catastrophe net premiums written were up 23% or 42% without reinstatement premium and specialty was up 47%. While gross premiums written were $8.9 billion, down $351 million, they were roughly flat when you exclude the impact of $235 million of reinstatement premiums. Within gross premiums, we had growth in property catastrophe, specialty and general casualty of $914 million when you exclude the impact of reinstatement premiums. This was offset by reductions in other property, professional liability and mortgage. Collectively, the actions we took through 2023 should serve as a tailwind to both our top and bottom lines in '24. Moving now to our Casualty and Specialty segment, where gross premiums and net premiums written were up 20% and 26%, respectively, in the quarter as we bought Validus business onto our platform. Net earned premiums were $1.4 billion, up 46%, also driven by Validus. In the first quarter, we're expecting net earned premiums to be about $1.5 billion. For the year, Casualty and Specialty net premiums written were up 3.5%. This year, we continued to manage the cycle, growing in specialty and general casualty, while reducing in professional liability and mortgage. Our Casualty and Specialty adjusted combined ratio was 94% for the quarter and the year. This was consistent with our expectations, and we continue to expect mid-90s adjusted combined ratio as we integrate the Validus portfolio in 2024. Additionally, the casualty acquisition cost ratio of 31% was elevated in the fourth quarter due to the impact of purchase accounting adjustments. This contributed 2.3 percentage points to the ratio. There's been a lot of focus across the industry on the robustness of casualty reserves given social and economic inflation trends. As we've discussed in the past, we have a prudent reserving process and are confident in our reserves. Turning now to our Property segment, starting with property catastrophe, where the fourth quarter is a quiet period for property catastrophe renewals and gross premium written were $55 million, roughly half of which were reinstatement premiums. Net premiums earned were up 78% in the quarter, driven by organic growth through the year and additional premium earned from Validus. We reported excellent results in property catastrophe for the quarter and for the year, with an adjusted combined ratio of 16% and 29%, respectively. While there are a few large catastrophes in the quarter, including Hurricane Otis and European windstorms, these largely did not make it into reinsurance towers or lead to significant catastrophe losses. Within catastrophe, we reported 26% favorable development in the quarter. This positive development was across the 2017 to '22 underwriting years with a significant amount related to Hurricane Ian. Moving now to other property where we reported strong results through 2023. This reported a 79% adjusted quarterly combined ratio in Q4 and an 82% adjusted combined ratio for the year. The other property Q4 current accident year loss ratio of 53%, included a 4 percentage point impact from large class, including Hurricane Otis and increased losses from previous events. All things equal, we expect an attritional loss ratio in the low 50s going forward. We reported favorable development of 4 percentage points in the quarter and 6 percentage points for the year, almost all of which related to attritional losses. We have continued to reduce our other property class of business, primarily in the pro rata and retro quota share lines with both gross and net premiums written down in the quarter. Net premiums earned also declined to $359 million. We're bringing premium from Validus into the book and in Q1, expect net premiums earned in another property of about $325 million. While net earned premiums will be down, we have built a much profitable goal. Moving now to fee income and our capital partners business, where fee income continued to increase with fourth quarter fees of $71 million, up 133% from the comparable quarter. For the year, these were $237 million, up 100%. In 2023, we consistently grew both management and performance fees quarter-on-quarter. Growth in fees was almost entirely driven by our joint venture vehicles and follows successful capital raising to support premium growth and continued strong underwriting performance. Starting in the first quarter of 2024, we expect management fees of around $50 million and performance fees to stay relatively stable, absent large losses. Once again, we effectively deployed capital in our partners business, in our capital partners business to match attractive risk with capital. This enabled us to bring on more pretty catastrophe premium onto our platform, including additional risk from the Validus portfolio. In 2023, we raised $1.2 billion in third-party capital across our joint venture vehicles with an additional $495 million effective January 1, 2024. We continue to be good stewards of capital, returning $1.3 billion of our third-party capital investors with two-thirds of this relating to the release of trap capital in our Upsilon vehicle. As expected, AIG invested $350 million in our Capital Partners business effective January 1, with $300 million in DaVinci and $50 million in Fontana. We facilitate most of this investment by reducing our ownership stake in DaVinci from 28% to 24%. Moving now to investments, where retained net investment income was $256 million for the quarter, up 18% from Q3 and $831 million for the year more than double 2022. In the fourth quarter, we saw a sharp rally in treasury, leading to a $490 million of retained mark-to-market gain and effectively eliminating to retained unrealized loss that we have been carrying in our fixed maturity portfolio. Our retained yield to maturity came down by 0.6 percentage points to 5.4% and this is roughly on par with our net investment income return. As we go forward, we expect to maintain our net investment income at a similar level. For Q1, we anticipate that retained net investment income will come in around $260 million. After funding and closing Validus, our retained investment portfolio has grown by about $3 billion to $21 billion. Duration has increased from 2.6 years in Q3 to 3.2 at the year-end. Now finally, turning to expenses, where our operating expense ratio increased in the quarter by about 1.6 percentage points to 6%. This was driven by performance-related compensation expense and increased headcount. These factors also drove a slightly higher annual operating expense ratio of 5%, up 0.6 percentage points from 2022. Going forward, we expect the operating expense ratio to stay relatively flat to 2024. Corporate expenses were also elevated by about $60 million in the quarter as a result of the Validus acquisition. These transaction-related expenses are excluded from operating income with about two-thirds of these expenses being one-time charges and the remaining one-third related to ongoing integration costs. These ongoing costs should carry over into 2024 before tapering off later in the year. And in conclusion, we finished an excellent year with an exceptional quarter. All three drivers of profit made strong contributions to our results. Both segments performed very well due in part to the underwriting actions we have taken this year across both segments. Management and performance fees increased through the year as our Capital Partners team substantially grew our joint venture vehicles and a strong underwriting market. And finally, net investment income doubled over the year as we grew our investment portfolio at attractive yields. As we look forward, we believe that the Validus acquisition will benefit all three drivers of profit, generating significant value for our shareholders. And with that, I'll now turn the call back to Kevin.
Kevin O'Donnell: Thanks, Bob. As you can see, financially, we had a great year, and our expectations are high for what we expect to accomplish in 2024. In my opening comments, I explained to you how we first led the change in property cat reinsurance pricing; and second, locked in profitable growth through the acquisition of Validus. At this point, I'd like to provide more information on how the January 1 renewal preceded and the underwriting decisions that we made. Our strong underwriting performance was the result of our disciplined repricing and restructuring of our portfolio. We proactively made improvements to have better pricing and better structures further from loss. In many ways, 2023 was a robust test of the profitability of property reinsurance portfolio and the effectiveness of the step change. We passed this test. It was a very active year for natural catastrophes with estimates of industry loss approaching $120 billion. In this environment, we delivered a property catastrophe combined ratio of 30% while growing net premiums written 42%, excluding the impact of reinstatement premiums. Overall, our property combined ratio was 53% for the year. This demonstrated to our ability to generate attractive returns for shareholders against the ongoing backdrop of significant natural catastrophe activity. At the recent January 1 renewal, we improved this already strong underwriting portfolio. Due to our overwhelming success in renewing the Validus business, we grew substantially into a market that remains highly favorable. Roughly half of our combined premium renewed at January 1, and our retention rate exceeded our already high expectations. More critically, we overwhelmingly tapped our combined cat lines. Rates in the property cat market remains strong and markets remain disciplined. Market rates were flat to up a few percentage points, programs that needed rate got rate, improving the overall portfolio. Terms and conditions were largely consistent and retentions held steady. In other property, the market continues to experience rate increases, particularly in the U.S. and parts of Europe. We held our exposures relatively flat while achieving higher rates. In 2024, we will continue to monitor other property. If risk adjusted returns approach similar levels to what we are obtaining in property cat, I expect there will be opportunities to grow exposure to this business. Similar to property, January 1 was a successful renewal for our casualty book. Our ability to participate broadly across our customers' portfolios once again served us well, helping us renew the business we targeted, had terms and conditions that made sense. This includes the Validus portfolio. Looking forward to 2024, we expect strong performance from a considerably larger book fitting from the Validus lines. This is because we are observing increased discipline in the market. General liability is benefiting from a combination of improving underlying rates, reductions in ceding commissions and improvements in terms and conditions. In specialty lines, the market continues to be attractive and we grew our net premiums written almost 50% in 2023. Validus brings a significant amount of specialty business and provides us an even more influential position in this market. We were successful in renewing this book at January 1 and are excited about future potential here. Overall, across our segments, our January 1, 2024 underwriting portfolio is larger and more efficient than 2023, and we believe we will continue to benefit over the year. Based on our success at January 1, we are likely to have significant upside against the $2.7 billion of the Validus portfolio we initially expected to retain. We are expecting to renew at least $3 billion of Validus premium and probably more, including most of the property and specialty lines. We achieved this favorable outcome at January 1 by consistently communicating our risk appetite to brokers and customers after we announced the Validus deal. We are now the leading participant on many placements. This prominent position allowed us to engage early with brokers and customers and work to secure our lines before many others in the market were even approached. Across property and casualty markets, we have been a consistent long-term reinsurance partner, supporting our customers when they needed us most. Our approach gave our customers certainty with our lines and allowed us to successfully combine the Validus and RenaissanceRe REIT portfolio. I would now like to touch on what we refer to as our gross-to-net strategy and how it contributes to our financial performance. It is difficult to overstate the capital efficiencies that we can bring to the large profitable underwriting portfolio we now have. This is because we have a broader array of capital management tools than any other reinsurer. To begin with, the book of business we assume from our customers is already very diversified. We then increased the efficiency of our portfolios and bring substantial additional capital to our customers through a combination of our highly-rated wholly-owned balance sheets and our capital partners business. All our risk is underwritten by the same teams of underwriters on our REMS system. And we have substantial skin in the game for any risk we write. Given such strong alignment of interest between RenaissanceRe and our partner capital investors, we view this capital as a permanent franchise. This provides our investors the confidence to remain committed with us over the long term. At January 1, we renewed the Validus portfolio onto RenaissanceRe managed balance sheets. We also deployed our capital partner vehicles and began incorporating the larger portfolio into our ceded reinsurance programs. This year, retro capacity was more available at acceptable terms, which when deployed in combination with capital partners vehicles, improves our overall portfolio and enhance the shareholder return. As a result, after bringing on Validus, we have kept risk relatively flat on a percentage of equity basis. It is rare to find an acquisition with this combination of capital efficiency and very little top line waste. In closing, our performance in 2023, both strategic and financial was outstanding. We delivered exceptional profitability to our shareholders through each of our three drivers of profit. At the same time, we bolstered the future of our company with the addition of one of the best reinsurance in the market, Validus Re. As a result, we expect to deliver material shareholder value over the course of 2024. And with that, we'll open it up to questions.
Operator: [Operator Instructions] We'll take our first question from Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Kevin, my first question. You said now you guys expect to retain at least $3 billion, right? Previously, it was $2.7 billion from Validus. So is that extra $300 million just essentially all transpired at January 1 and if you also have -- are more successful than we expected at other renewal seasons of the year, then that could be additive to the $3 billion?
Kevin O'Donnell: Yes. I think the success we had at 1/1 certainly inspired us to increase from $2.7 billion to $3 billion. We have tremendous confidence in the underwriting team and their ability to execute against that $3 billion, and we believe we have upside. About half of the Validus book renewed at 1/1 and we had enormous success, specifically targeting the property cat lines and the specialty lines. A few of the casualty clashes, we exercise the same discipline we've been exercising in our own book of business, and we're a little bit more selective on some of the more challenged casualty classes. But as I look forward to what's coming for the remainder of the year, I feel very confident about $3 billion with upside for both the casualty specialty and property portfolios.
Elyse Greenspan: And then it sounds like you pointed out, right, a little bit of incremental price at January 1 on property cat, right? And we didn't -- give back any of the improvement in conditions that reinsurers got in 2023. So how would you think about the expected return on the property cat portfolio you guys wrote at January 1, 2024? My thought was, last year it was 20-plus percent. And I'm assuming it would be equivalent and perhaps a little bit higher at 1/1/24?
Kevin O'Donnell: Yes. I would say, it was relatively consistent with what we experienced with the step change we achieved in '23. So when I look at the portfolio, we benefit from it being larger, more diversified. We have a little bit more flexibility on how we're structuring the portfolios between third-party vehicles, our own balance sheets and a little bit more ceded. So I think the overall portfolio's efficiency has improved. But when I think about terms, conditions and pricing, I think it is largely consistent on a risk-adjusted basis with last year. One could argue it's up a little bit, but I think being conservative and saying it's flat is reasonable.
Operator: The next comes from Josh Shanker with Bank of America.
Joshua Shanker: Kevin, masterful a summary of your 1/1 -- giving a lot of numbers, I applaud it. But in terms of thinking about your book, if I'm doing my math right, excluding Validus, you have about $1.2 billion more equity capital, $750 million more debt, $1.6 billion more in the legacy third-party money and then another $350 million of AIG contribution to third-party money. That's about 30% more capital than you had a year ago. Can you write 30% more cat exposure at the current prices under the model? I realize the secret sauce is how you deploy that capital, but is it reasonable to think that you could accept 30% more risk than a year ago?
Kevin O'Donnell: Yes. I think one of the comments that I tried to bring out on the portfolio is that, on a percent of equity basis, we're holding our risk relatively flat. So knowing that, that the equity base is up, we are increasing our risk to make sure we remain equivalently exposed in the tail against peak exposures. The one thing that, that comment doesn't highlight sufficiently is the portfolio that we brought on Validus is well diversified. So when I make those comments, I'm focused on property cat, but that risk capital that we brought on and exposed to property cat is very well exposed on a diversified basis with specialty classes and with casualty. So the efficiency of bringing that portfolio on is far greater than going into writing strictly into the property cash tower.
Joshua Shanker: Okay. And then a question for Bob. When we think about the tax going forward. You said that the DTA is not going to eliminate your tax obligations on a cash basis. Should we expect that your tax obligation on a cash basis will be materially different over the next decade? Or you will still pay a similar type of cash tax rate and then you'll also have the benefit of the DTA managing the overage?
Robert Qutub: It's a short answer. Thanks for the question, Josh. The short answer to that question is DTA at $600 million is going to give us a $60 million a year and is capped at 10% a year for 10 years. So we're going to get a benefit of reduced cash, tax cash flows of up to $60 million a year for the next 10 years.
Joshua Shanker: And if you experience a large catastrophe event in that decade that causes you to have a negative tax rate. Would that add the DTA such that you could utilize in longer than 10 years?
Robert Qutub: Yes. The detail of the attitude for losses, there's going to be carried forward. There's other things that will come out in the curve . We're going to be working through it over course of this year when it becomes -- before it becomes effective in 2025. But short answer to that question, yes.
Operator: The next question comes from Mike Zaremski with BMO.
Mike Zaremski: So I guess, you gave a lot of great guidance and I think we -- a lot of us need a handholding a bit on the Validus acquisition details, so I appreciate that. But if I think back to kind of in May when the deal was struck, I believe your guidance was double-digit accretion on a run rate basis. And if I look at consensus estimates, the deals close, if I look at consensus estimates on a forward-looking basis, estimates are up consensus about 9%, if I'm looking at '24 to '25 on average. And so I'm just curious, it's a long-winded question, but you've given a lot of details that point to the deal being actually a bit more accretive than what your initial guidance was in the -- in the May of last year. And so just curious if you think I'm interpreting this correctly that the deal is more accretive. And obviously, this is just a deal in isolation, because it doesn't feel like that -- the Street is clearly not moving to where, I guess, believing our guidance in isolation. Am I thinking about that correctly?
Robert Qutub: Mike, to answer your question -- thanks for the question. It's a great question, and we feel better than we did in May when we first announced the deal. And as we've gone through the due diligence and integration process, we continue to feel stronger as Kevin evidenced with going from $2.7 billion to $3 billion in premium with even upside to that. And this benefit ripples through all three drivers of our profit. And the same message I gave you back in May was, better underwriting, more efficient that we're getting it in through both casualty and specialty. We'll still hold at the mid-90s. So that and of itself generates the profitability. And also, both the DB and Fontana will benefit by this additional premium and business that we have coming through for fee income. As you noted, I've increased basically our guidance on fees for management holding at 50. And then also the portfolio, we've got $3 billion more coming in there in this rate environment. So yes, we feel better than we did back then just as we learn more, especially with the quality of people that came over, that Kevin referred to in his prepared comments. So strong team, strong results, we feel looking into 2023, which I said, offer tailwinds.
Mike Zaremski: Okay. That's helpful. And my follow-up on the Casualty and Specialty segment, and I appreciate there's a lot of different types of business in there. The combined ratio for that segment has been improving, whereas a lot of -- some of the primary insurers haven't seen much improvement in their casualty segments, although I know business mix is different. You mentioned in your prepared remarks about the strength of your casualty, I think, reserves. Then also, I think there were some remarks about some troubled casualty portfolios in the marketplace, which isn't a surprise. But any more color you want to offer on kind of why you feel really good about your casualty portfolio?
Kevin O'Donnell: Dave, why don't you take this one? Thanks.
David Marra: Sure. This is David. I'll start by just saying, as we sort of -- casualty and specialty portfolio, there is more than just casualty in it. A big portion of it is specialty and credit, and it's always a focus of ours to overweight the portfolio towards the most attractive opportunities. And so you saw us grow rapidly in casualty into the market post 2020. And pre-2020, our book was actually quite small. We also avoided a lot of the lines at that time, which were more prone to social inflation like commercial auto. So part of what you're seeing in the continued strength of the segment, it's just our active weighting of the different classes. If you now roll on to 2024 with the Validus portfolio, we have an even bigger footprint in specialty classes, which went through a step change in terms and conditions last year, and that's persisted. So all that comes together in the overall strength of the segment. Thank you.
Operator: The next question comes from Ryan Tunis with Autonomous Research.
Ryan Tunis: First question, just -- I guess, it's just more on just the attritional large losses persona. So I guess we've got our spreadsheet that kind of says, yes, European windstorm, as this, Japanese typhoon normally. We've got a decent feel for what to expect in terms of REMS market share I'm just curious, is there anything you flagged combining the Validus portfolio, where you think that market share might be a little bit elevated relative to history? And I'm not talking about like the 15100. I'm just talking about more of the quarter-to-quarter attritional large lawsuit.
Kevin O'Donnell: Yes. Let me start here. I think their book looks similar to ours and their book benefited from the step change. So in general, the property cat portfolio is more remote to secondary apparels than it was in 2022. That said, the combination of RenRe and Validus means we're larger. So I would expect that we will have, particularly on larger losses, a bigger percentage share of participation in the loss. Importantly, we also are growing many of the specialty classes, not only on RenRe's portfolio, but with the addition of Validus. Some of those are cat exposed. So I think some of the smaller losses that you mentioned, can -- we can be a little bit more exposed because of our leveraging into a few of the specialty classes. I don't see it as a hugely material shift in being exposed to new losses, but our participation might be a little larger just because our scale is bigger. So when I think about where the portfolio is most exposed, pre-Validus and post-Validus, it's relatively consistent. I would say, a larger losses, particularly larger peak losses will have a bigger percentage participation just because of our scale. And we might participate more broadly in non-peak territories and perhaps non-peak perils through some of the specialty classes that we write.
Ryan Tunis: Got it. And specialty, I should be thinking more like a man-made type loss?
Kevin O'Donnell: In Marine energy per risk, there is an aviation that kind of stuff.
Ryan Tunis: And then for Bob, I guess just a follow-up on Ian. You mentioned there are some reserve releases there obviously, you put up a big enough initial number, I kind of wanted to check in on -- is there still a good amount of IBNR or reserves associated with that event? Or is that pretty much fully seasoned at this point?
Robert Qutub: This is just the annual checkup that we do. In the last week of the third quarter, so it really fell into a fourth quarter review and we got more information, had another year of seasoning. This is the best estimates. But yes, it was far away the largest piece of it. But we go over all the accident year. So we are -- we'll always continue to look at it ongoing and deeper on an annual basis.
Operator: The next question is from Meyer Shields with KBW.
Meyer Shields: Sticking on reserves briefly, if I can. Can we get a sense as to the accident years that were relevant for the Casualty and Specialty segments reserve development?
Robert Qutub: Sorry, let me make sure I got the question here. You're looking at the relevant years in terms of kind of picking over what David talked about in the years under review by the industry '18 and prior, going forward relative to 2020 and '21, I think. In those years, we were -- didn't have a David referred to us having a lighter pin back in there in a smaller presence. We did grow through acquisitions, but with those acquisitions, we got terms and conditions that help protect it. And we actually did some of that protects on our own going back in the pre-'18 years, where we did grow under our pin was in the years that we talked about where the markets got better, which is in 2021, and we actually shape the portfolio for lines that we thought we did well in. So look at what we saw this year, way down in professional lines, and way up in specialty.
Meyer Shields: Okay. No, that's perfect. Second modeling question. So we have the impact from purchase accounting on the various segments combined ratios. Can we assume that for the near term, if we tweak that up for the fact that there are only two months of Validus ownership, that's a good run rate in the near term for the purchase accounting adjustments?
Robert Qutub: That's fair. That's a fair. It's going to taper off. Like I tried to say 40% of this is going to be gone by the end of this year. So it will start to taper towards the end of the year.
Operator: The next question comes from Alex Scott with Goldman Sachs.
Alex Scott: I wanted to dig a little bit more into the net versus gross or gross-to-net strategy, I guess, you're referencing. And on one hand, it's sort of the way you're bringing on this Validus book and how much the third-party capital providers are being used? And then also just interested in as you're going through year-end renewals. In the view that we get to your financials, I guess includes the capital providers, I mean, will there be any noticeable differences on sort of the net to gross retention that we should think about going into 2024 as part of your strategy at year-end?
Kevin O'Donnell: Yes. I think Bob had mentioned some shifts in the percent participation we have in DaVinci and Fontana. I think it's reasonable to think we split our book and retain about half of our property cat. So half of it will be with third-party vehicles will be on our owned balance sheets. And ballpark, we keep about 85% of our casualty. That moves around each year. It's not materially different from what we had last year. But those are good estimates to think about how we're constructing the portfolio. The other piece is more of a trading account retro, where we did see more opportunities to provide more additional excess of loss protection on some peak exposures. I think that's very consistent with the way we've normally traded the portfolio, and there's nothing specific to report there.
Alex Scott : Okay. Helpful. Next one is -- just on the investment portfolio, as you brought on this Validus, it sounds like it added some duration. I mean, is the portfolio around where you wanted in terms of the investments? Anything that you're planning on doing there in terms of whether it's on the duration side or just broad allocation?
Robert Qutub: It came in actually shorter in duration over the course of the due diligence and integration process. We've matched it with our portfolio. So this is a reflection of our decision to take it and extend it out a little bit longer than it was at the end of the third quarter.
Alex Scott: Got it. So around this pie you want it already?
Operator: Next question comes from Jimmy Bhullar with J.P. Morgan.
Jimy Bhullar: So first, just a question on the competitive environment. It seems like your comments on pricing terms and commissions are fairly positive. Have you seen any of your peers sort of start to come down in terms of offering coverage in lower layers? And have you seen any move in attachment points at all versus 2023 for '24 renewals?
Kevin O'Donnell: Dave, why don't you take that?
David Marra: Yes. We didn't see much competition at all really going -- pushing retentions down below where they were at in 2023. Those retentions largely held. All the new demand of the new capacity is more at the top end of programs, where we did see an increase in demand for new top layers.
Jimmy Bhullar: Okay. And if we think about your returns in '23, obviously, they're be strong for you guys and your peers as well. To what extent is that a function of just the type of cats we saw where there were a number of events that they are relatively small versus real sort of changes in terms and conditions to where had we seen sort of normal type larger events, would your returns have been -- would they have been somewhat similar? Or would they have been significantly lower?
Kevin O'Donnell: So when I look at '23, every cat year is different. And you're correct in that there was more small events than having the $120 billion driven by one large event. When I think about what's driving our performance in '23, those positive factors are persisting in '24. So we're in a rate environment that is very robust across most lines of business, terms and conditions largely held, retentions largely held. We have a fee business that continues to grow, and we expect greater capital partners participation, not only in our own portfolio, but on Validus' portfolio, and the investment returns look robust for the rest of the year on a larger portfolio. Your question is if the cat loss profile is different, will we have different results. The answer is yes. In the way the book is constructed, we are purposefully more exposed to peak territory large losses. And as mentioned in my previous comments, we would probably have a bigger percentage share of those. That said, the robustness and the diversification in the portfolio gives me great confidence in having constructed the portfolio that we have, knowing it's resilient to even large losses that can come in.
Jimmy Bhullar: Okay. And then just lastly, can you comment on any reserve development you might have seen related to the Tokyo Millennium ADC. Has that been exhausted? Or is there some left there?
Kevin O'Donnell: That there's still limit available on the cover. The reserves are paying down as expected. So I have nothing to report other than the coverage is still there and there's limits still available.
Jimmy Bhullar: And are you able to say how much that is? What the remaining amount is?
Kevin O'Donnell: No. And it's an estimate at this point. Nothing is paid on it. We're still working through the reserves that were part of the transaction originally.
Operator: The next question comes from Bob Wang with Morgan Stanley.
Robert Wang: Most of my questions are answered. I just have one. Regarding the Validus acquisition, obviously, everything sounds fairly positive from this perspective. Just curious how we should think about expenses synergies going forward? Is it more going to come from scale and operations? Or is it more of a people's related synergy? Maybe can you just help us on the expense side of things a little bit?
Robert Qutub: Yes, that's a good question. I touched on it in my prepared comments, and you can go back I'll repeat a little bit of it, but I'll point you back in there. You'll see a lot of the Validus related costs coming through in the -- both in operating expenses where we retain a significant amount of people. We did anticipate significant synergies. But as we said, and I’ll remind you, we have a lot of talented people that came over from Validus, and we're going to reduce the amount of targeted synergies, but not materially. We feel great about it. The integration costs are going to be down below in corporate expenses outside of operating income, which I said was going to be about $20 million going into the first quarter and how to carry through. And then no synergies will taper off towards the back end of the year.
Kevin O'Donnell: Those synergies -- those costs will taper off, which reflect the realization of those synergies.
Operator: The next question comes from Brian Meredith with UBS.
Brian Meredith: Kevin, just curious. When you put your portfolio together with Validus, are there any areas geographically that you would say right now, you're underweight and there's potential opportunity to kind of really increase your presence if market conditions so warranted?
Kevin O'Donnell: We have the ability to grow everywhere in every line of business should we choose to, and it will be return dependent. Obviously, we'll demand more profitability for each dollar we put out in peak territories. The portfolio that we picked up from Validus, largely had a similar profile to peak risk that our existing portfolio. They were slightly higher in Europe than us. What I would say is against the Southeast, we can continue to grow very efficiently every other cat peril and every other cat region. And then we have opportunities to grow specialty and casualty as well. I think the one that we're focused on and thinking about what our next steps are going to be is the other property market, specifically the E&S cat exposed. Just as rates continue to change there, that might be a further opportunity for us as well.
Brian Meredith: Makes sense. And then just quickly on market conditions. A little early right now, but 4/1 renewals, particularly looking at APAC, kind of thoughts on opportunities there?
Kevin O'Donnell: I think we're just getting into the Japanese renewals. It looks like the earthquake that happened earlier in January, will have limited effect on the reinsurance. I think Japan is a very stable market. I'm optimistic that the solid rate that we achieved last year will be at least achieved this year in the renewals that we target.
Operator: The next question comes from Charlie Lederer with Citi.
Charlie Lederer : Thank you. Question, is there a PGAAP impact in the loss ratio? And is that material?
Robert Qutub: There is -- thanks for that question. Most of you see right now is in the acquisition ratio. That's why I talked about in my prepared comments, that was probably most predominantly in casualty about 2.3 points. The impact of the reserves will be modest and it will have a little bit longer tail on it, will go up probably 5, 6, 7 years, but it won't be as impactful as what you're seeing on the acquisition ratio.
Charlie Lederer: Got it. And I think you mentioned it a little bit, but is it your sense that the DTA is created this quarter for the corporate income tax are going to be enough? Or do you expect offsets to the P&L tax rates from things like payroll taxes or other things by the time '25 rolls around?
Robert Qutub: It's early right now in this whole process. The legislation was just passed and what we calculated was the deferred tax benefit to reduce cash payments going forward. How the legislation adapts in 2024, we'll be paying close attention to what those changes are. I referred to some of them maybe, but we just don't know. So it's too early to tell.
Operator: The next question comes from Andrew Kligerman with TD Cowen.
Andrew Kligerman: Question around your growth in casualty and specialty. I mean it looked great, obviously, a lot from Validus there. But could you talk a little bit about the and then, of course, the offset with professional liability down about $109 million year-over-year. Could you talk about the specialty lines where you're -- you're kind of most excited about seeing more growth as well as the casualty lines? And where within professional liability, are you moving away from? Is it just public D&O and access D&O? Or is there more of that professional -- it where you're moving away?
David Marra: Andrew, this is David. I'll start with that one. Starting with your comment on casualty and professional lines and D&O. It definitely is the public D&O in the excess in particular, which is under the most pressure. Most D&O books have a variety of different D&O exposures. So that's one opportunity we have is to shave our underwriting away from public D&O and towards the other classes. Giving this happening in D&O, as we're getting a reduction in ceding commissions to compensate the pressure on insurance rates that, that we're seeing. On the specialty classes, Validus had a very significant specialty footprint. We also had a significant specialty footprint. So we put those together. We're really excited about the opportunities there. Marine and energy and the associated lines like terrorism that is underwritten as part of Marine and Energy are big areas of focus there. We also are growing in the aviation space, which is experiencing some positive rate in the excess of loss. So it lines like that.
Andrew Kligerman: Very helpful. With regard to the third-party capital, I was a bit surprised to see that $364 million -- I'm sorry, that yes, was returned. But then I think I heard on this call that you raised another $495 million. I'm not sure if I heard that right. But just given the size of Validus coming on the books, coupled with the fact that you had some ratio as you cited earlier, I think, 50% of property cat, 15% of casualty. Should we expect a lot more capital in the third-party area to be raise throughout the course of the year?
Kevin O'Donnell: I think we'll continue to look for opportunities to deploy into the market. Right now, all of our vehicles are sufficiently capitalized to achieve the target state of where we want to renew the Validus book, the RenRe book and the additional growth that we have. So do not need additional capital in any of the vehicles, but we'll be opportunistic should we see it more opportunity. Yes, so I would say we're rightly sized for where we want to be right now.
Operator: Our last question comes from David Motemaden with Evercore.
David Motemaden: Just had a question on the competitive environment. And we've read a lot about more competition in the higher layers of programs. But I think it was David who mentioned, there's more demand coming in at the top end of programs as well. So I'm wondering, just maybe you could just talk about what you're seeing, how you're managing that and your expectations going forward? And if there is pressure on those higher layers.
David Marra: Yes, this is David. I'll continue on. I guess in property cat, we did see demand in the high single-digit percentages. That's mostly in the top layers. That's also where the capacity was. If you think about what capacity came in to the cap on market through 2023, it's the same type of risk profile that's attracting the capacity in the property cat towers at 1/1/2024. But increase in demand is a continuation of the trend that we saw in 2023 also, ensured values during creating clients are looking to protect their books. But the difference this year is they were able to have the budget to do that. And so we did see more clients buying top-end programs. We expect that, that will continue. A lot of clients are talking about it and not everyone bought, we think that, that will continue through the mid-year renewals.
David Motemaden: Got it. And I think you guys had been talking about that, the demand hadn't really come to market relative to your expectations. Is that after 1/1, is it mostly in line with what you would expect? Or is it still -- do you think there's still a little bit extra demand that should be coming?
David Marra: I would say we're continuing on that path, and there's more to come.
David Motemaden: Got it. And then maybe just a quick numbers one for Bob. So thanks for the numbers in terms of the earned premium expectations with Validus. I'm wondering if the extra two months of Validus that you had in the fourth quarter, did that distort any of the adjusted combined ratio metrics that you guys disclosed?
Robert Qutub: No. I mean, consistently with casualty, we printed for the quarter and for the year, 94 on an adjusted combined ratio basis. Even if you add for the year, the PGAAP impact, it's not significant. So everything has been in line, as we said it would. The Validus portfolio has fallen right in line with ours.
Operator: This does conclude today's question-and-answer session. I will now turn the program back over to Kevin O'Donnell for any additional or closing remarks.
Kevin O'Donnell: Thank you very much for joining today's call. We worked hard in 2023 to achieve the strategic objectives we put forward. That is the foundation for success that we achieved in 2023. And as I look at 2024, that foundation is as strong as ever, and we're looking forward to a strong 2024 as well. Thank you.
Operator: This concludes the RenaissanceRe Fourth Quarter and Full Year 2023 Earnings Call and Webcast. Please disconnect your lines at this time, and have a wonderful day.